Operator: Good day and welcome to the WWE 2008 Q3 earnings conference call. At this time, I’d like to turn the call over to Mr. Michael Weitz, Vice President of Investor Relations and Financial Planning for World Wrestling Entertainment.
Michael Weitz: Thank you and good morning everyone. Welcome to World Wrestling Entertainment’s third quarter 2008 earnings conference call. Joining me for today’s discussion are Linda McMahon, our CEO; and George Barrios, our CFO. We issued our earnings release earlier this morning and will be referencing a presentation as part of our discussion. These are available on our corporate website at corporate.wwe.com. We will be making several forward-looking statements today as part of our discussion. These statements are based on management's estimate. Actual results may differ due to numerous factors which are referenced on page one of the presentation. These risks and uncertainties are discussed in more detail in our filings with the SEC. Reconciliations for non-GAAP financial information discussed on this call can be found in our earnings release or on our website. Today, we will review our financial results for the third quarter and will follow this review with the Q&A session. At this time, I would like to turn the call over to Linda.
Linda McMahon: Good morning. Thanks Michael and we thank all of you for joining us today. Over the past year, we have seen a difficult economic environment which has been challenging for many companies. Through the first half of 2008, our business model demonstrated strength as we achieved significant top line growth. In the third quarter, however, our revenue growth slowed demonstrating that we are resilient but not immune to the negative impact of a weakening economy. We recognize that WWE may face more challenging trends in the near term. As a result, we’ve taken steps to reduce costs and improve our operating margins. First, consistent with our previously announced commitment, we initiated a series of in-depth reviews to evaluate our entire cost structure. Through these systematic reviews, we have targeted and are moving forward with a reduction to our 2009 expense structure of at least $20 million. Secondly, we'll reassess the design requirements of our media center and reduce our planned capital spending by approximately $30 million. After adjusting our plans, we are now targeting a revised spending range between $65 million and $75 million in line with our original cash estimates for the project. While working to improve our cost structure, we made significant progress on other key strategic objectives. We strengthened our television platform both domestically and internationally and expanded the distribution of our content in new online and print media. During the quarter in October, we successfully transitioned our SmackDown program to MyNetworkTV. As anticipated, SmackDown has become the cornerstone of MyNetworkTV lineup and retained its position as the number one broadcast show on Friday nights in terms of young male viewers. Since the launch of SmackDown on MyNetworkTV, we’ve seen a stable or increased rating in the majority of the nation’s largest television markets. Similarly, we completed agreements with Televisa and TV Azteca that greatly improved the distribution of our television programs throughout Mexico. These new agreements have made our programs available to over 20 million TV homes in Mexico. Since their debut, both our Raw and SmackDown programs have attracted audiences of close to or exceeding one million TV homes. As such, these deals provide an important platform in a region of the world which we believe has significant potential for future growth. Consistent with our international strategy, we have begun to license our online and print content in both emerging and traditional markets. During the quarter, we completed a deal to produce a Mandarin website in China. We have now completed agreements and began to launch local language websites in Australia, Italy, and Portugal. Similarly, we continue to leverage our magazine content with the successful launch of our WWE Kids Magazine in the UK and have recently initiated a licensing of our WWE Magazine in Mexico and France. Distributing local language version of these products is highly profitable because the translation and production cost are borne by our sales partners. As with our international strategy, we are leveraging smart product extensions to accelerate the returns from our digital offering. During the quarter, we launched a new website dedicated to a younger audience, wwekids.com. The new website supplemented the ongoing extension of our WWE Kids Magazine which was first published in April. On a combined basis, these programs surpassed breakeven and were profitable within their first few months of operation. Against the backdrop of a challenging environment, we are working to reduce our cost structure to find new and innovative ways to distribute our product. This changes will not only enable us to improve our near term results but will also position us to better capitalize on opportunities as the economy recovers. Perhaps the most important statement that I would like to make this morning is that WWE remains committed to managing our business in the manner that is consistent with maintaining our dividend and achieving our long term financial objectives. Before I conclude, let me comment on an announcement that we made this morning and that is that effective December 31st of this year, we will accept Mike Sileck’s resignation as COO and a member of the Board of Directors. Mike has significant experience in the entertainment industry and brought an insightful perspective to WWE. We appreciate the contributions he has made both as our Chief Financial Officer and as our Chief Operating Officer. Donna Goldsmith, Executive Vice President of Consumer Products, has been named as his successor. Donna came to WWE from the NBA and has been with the company for the past eight years, during which time she has overseen the tremendous growth of our consumer products businesses. Her business acumen, leadership skills, product knowledge, and track record makes her especially qualified to fill the COO position and to serve on the Board of Directors. Now, let me turn the call over to George Barrios for an update on our financial performance.
George Barrios: Thanks Linda. For the third quarter, we reported a 5% decline in profit contribution based on revenues that matched our top-line performance in the prior year. Our international operations generated a 7% increase in revenue which supported our overall results. Increased profits from our consumer products segment were more than offset by lower results from our pay-per-view, wwe.com and live event businesses. Lower results in these areas reflected both top-line declines and increased production costs. Several factors dampened our revenue growth including the timing of our international events and tough competition from a compelling Olympics in Beijing. However, we believe the revenue declines in our live event and pay-per-view businesses were at least somewhat influenced by a weakening economy. Profit contribution in the quarter was also reduced by $1.9 million charge based on revised expectation for our feature film, See No Evil. Excluding the impact of this charge, gross profit was essentially flat to the prior year. We estimate the changes in currency exchange rates had a negligible impact on profits. Operating income was $7.9 million compared to $13.4 million in the prior year, reflecting the decline in profit as well as year-over-year increases in staffing, marketing, and talent-related costs. SG&A expenses for the third quarter were below the levels reported earlier in the year. Looking forward, we believe we can adjust our expenses to reflect a more appropriate proportion to the revenue we generate. Today, we have slowed the rate of growth in headcount and other expenses. We are now reviewing every area of our business to identify potential savings. Based on our work, we estimate that we can achieve at least $20 million of cost savings from across our operations. For a more detailed review of our performance in the quarter, let’s turn to page five of our presentation, which lists the revenue and profit contribution by business unit as compared to the prior year. Starting with our live events including merchandise sales at these events, revenue reached $24.5 million, exceeding the prior year by 2%. An increase in the number of domestic events from 63 to 77 more than offset declines in average attendance, both domestically and internationally. Average attendance at our North American events fell 4% to 5,300. Average attendance at our international events declined 28% to 6,600, also affected in part by changing market conditions that impacted our September tour in Portugal, Spain and Austria. Turning to our pay-per-view business. Revenue decreased 13% or $2.4 million from the third quarter last year. Revenue reflected an overall 9% decline in buys for the three pay-per-view events that were produced in both the current and prior year periods. Combined buys for Great American Bash and SummerSlam declined 12% from the prior year, as the latter aired against the Beijing Olympics. Buys for Unforgiven, the last event in the quarter, were essentially flat to the prior year. Revenues from the distribution of our television programming increased by 7% or $1.6 million, primarily due to increased domestic and international rights fees. These increases, however, were offset by incremental creative costs primarily to produce and broadcast our programs in high definition. In our consumer products segment, our home video revenue nearly doubled from the prior year. This growth reflected a more robust release schedule, as well as strong sales of both new and catalog titles. DVD shipments increased 35% to approximately $730,000. Q3 2008 had seven new title releases versus only three pay-per-view titles in the prior year quarter. Approximately 155,000 units of catalog titles shipped in the quarter, compared to about 117,000 units in the prior year quarter. Expanded distribution in France, Australia, Spain and Germany also contributed to the year-over-year increase in revenue. Our licensing revenue increased by 13% or $1.2 million over the prior year quarter, led by higher sales of our video games and music. Unit sales of our SmackDown vs. Raw 2008 video game title increased by 71% to nearly 500,000 units for the third quarter. Sales benefited from the launch of this game on the PS3, Wii and Nintendo DS platforms. The addition of these game platforms aided our international performance in the quarter. Sales in European markets, such as Spain, accounted for the majority of the year-over-year growth in video game and licensing revenue. Our digital media segment, comprised of online advertising e-commerce and wireless businesses, generated $7.9 million in revenue. And despite the 7% decline in Internet traffic, e-commerce orders increased 23% to approximately 70,000 orders, and average revenue per order increased 2% to about $55. Higher buy rates reflected continued improvements in our product selection, placement and promotion. The 26% rise in e-commerce revenue, however, was largely offset by lower sales of online advertising, reflecting the transition of our Internet ad sales team to new management. After hiring an experienced sales executive at the start of the quarter, we are now seeing increased activity in our ad sales pipeline. To monetize our traffic more effectively, we launched a new video player just last week. The player provides a richer experience for our website customers and greater capacity for video advertising, with higher pricing or video CPNs than other forms of online promotion. During the quarter, WWE Studios recognized revenue of $5.6 million and profit of $2.2 million, predominantly from continued DVD sales associated with our portfolio of films. Current period profits also included a $1.9 million charge, as mentioned earlier. The results compare unfavorably to the prior year quarter, which benefited from strong sales and timing of The Marine and domestic DVD markets. In terms of our film slate, production of both our direct to video projects, Behind Enemy Lines Columbia and our feature film, 12 Rounds, have been completed. This will be distributed by our film partner, Fox, in 2009. Our overall profit contribution margin declined 39% from 41% in the prior year quarter. Higher cost of production resulted in lower margins for WWE’s live events pay-per-view and www.wwe.com businesses. SG&A expenses increased 8% to $31.3 million, led by higher marketing and staff-related costs primarily to support our initiatives in international markets. In addition, the year-over-year change reflected increased professional fees and higher costs of our talent wellness programs. For the quarter, net income declined to $5.3 million compared to $8.5 million in the prior year quarter. It should be noted that other expense recorded below operating income in the quarter included an $800,000 charge associated with the revaluation of certain warrants. In aggregate, non-cash charges arriving from our film activity and financial investments resulted in a reduction of $2.3 million to net income and $0.03 to EPS. The effective tax rate in the quarter was 32% as compared to 40% in the prior year quarter. Page 14 of our presentation compares the quarter-over-quarter of results and provides a summary of changes by business. Page 15 of the presentation contains our balance sheet, which remained strong. On September 30, we held $209 million in cash and investments with virtually no debt. Page 18 shows our free cash flow. For the quarter, we generated free cash of $10.5 million compared to $18.7 million in the third quarter last year. The reduction to free cash flow reflects lower net cash from our films entertainment business. Looking ahead, we recognize that to manage the company prudently, we need to improve our cash returns. We have targeted expense savings of at least $20 million and streamlined our planned capital expenditures by about $30 million. Based on our outlook, we are comfortable that we will be able to maintain our dividends. Coupled with our long-term growth, this is how we’ll deliver greater value to you, our shareholders. That concludes this portion of our call, and I will now turn it back to Michael.
Michael Weitz: Thank you, George. Kevin, we’re ready now. Please open the line for questions. 
Operator: (Operator instructions) And we will take our first call from the side of Richard Ingrassia with Roth Capital. Go ahead please.
Jerry Trevillan – Roth Capital: Hi. This is Jerry Trevillan [ph] for Rich today. I have a couple of questions for you guys, if you don’t mind. Could you say a little more about the warrant revaluation that’s been over 1 million the last two quarters?
George Barrios: Yes, that’s just simply accounting based on the stock prices of the warrants, and we have two warrants. We have warrants with two of our licensees.
Jerry Trevillan – Roth Capital: Okay. And there’s a pretty sizeable decrease in SG&A sequentially. Are we not getting close to a pretty steady run rate?
George Barrios: Well, I think in the first quarter, I have mentioned that our $33 million was reflective of a run rate. There’s obviously a little bit of cyclicality and timing throughout the year, but I think if you ex out the McMahon’s millions non-cash impact on SG&A for the year, that first quarter run rate’s about right, and this quarter’s a little bit lower.
Jerry Trevillan – Roth Capital: Okay. And lastly, on film strategy, are you still fairly committed to the direct to video format or are you branching more into theatrical? If you could just shed some color on that, it would be appreciated.
Linda McMahon: Okay. Relative to our films entertainment division, we are focusing on our DVDs and we have – and we’re going to release in January a joint venture that we’ve done with Fox, Behind Enemy Lines 3, which is a shared revenue and shared production cost. We are also diversifying our commitment to our films entertainment to include movies of the week. There will be still an occasional theatrical release where it’s warranted and we believe it's prudent to continue into that business, but there will be more of the DVDs and movies of the week as part of that mix.
Jerry Trevillan – Roth Capital: Okay, that’s it. Thank you guys very much.
Operator: Our next question comes from Arvind Bhatia, Sterne Agee. Go ahead please.
Arvind Bhatia – Sterne Agee: Good morning. A couple of questions. One is just a housekeeping question, George, what should be the tax rate we should use from here on, the rest of the year?
George Barrios: Yes. We’re years dated around 33%. We’ve been saying around 35% for the full year, I think that’s probably, directionally still right, maybe on the higher end but right around there.
Arvind Bhatia – Sterne Agee: Okay. And then a bigger picture question for all of you. In prior difficult economic times, how have you guys done – what’s been the experience on the demand side and cost cutting, et cetera, how quickly can you adjust and just the bottom line impact in the past, if you could help us with some historical perspective?
George Barrios: Sure, Arvind. The most recent recession which was 2001, we saw our numbers not impacted as greatly as others, which is why we’ve always described ourselves as resilient but certainly not immune to the economy. In the long term, we’re real bullish. We have an incredibly passionate fan base. They crave our content. We see significant opportunity around distribution channels, both platform and geography. And then the short term, frankly regardless of the economy, we’re going to focus by controlling the things we can control. Develop great content. Leverage all our marketing channels. Continue to execute on distributing across platforms and more geographies, and manage effectively and efficiently, and I think the $20 million in cost reductions that we have identified, at least $20 million or $30 million in the scope change in the media center currently fall into that fourth bucket.
Arvind Bhatia – Sterne Agee: Okay. And then just to be clear, the SG&A run rate, I mean, we should be seeing some benefit on the reduction on the legal cost as well, right? So I guess what’s the dollar amount that you’re comfortable with the SG&A adjusting for the seasonality, et cetera, is it between $30 million to $32 million, is that what you’re implying here?
George Barrios: Yes, I would say around the $32 million to $33 million currently, as that $20 million in cost initiatives gets implemented and we’re already – we’ve been implementing for the last couple of months. I think you’ll see an impact with it. In the very, very short term, you’ll see around $32 million to $33 million.
Arvind Bhatia – Sterne Agee: Okay. And then just quickly, if you can touch on competition, what you’re seeing out there, particularly TNA, what you might be hearing from the marketplace?
Linda McMahon: We really view our competition as we’ve always said as anything that’s in the entertainment realm. Consumers go, they buy tickets, they buy products, et cetera. So TNA, while in this particular genre, is not our necessary competition. It's part of it, the entertainment marketplace, but not targeted to one particular scope of entertainment. So, we are constantly in the marketplace competing for those dollars. I think it speaks well of our fan base, their desire for our product, and as George just said they have a voracious appetite for what we do and we’re very appreciative of all of them.
Arvind Bhatia – Sterne Agee: Great. Thank you guys and good luck.
Linda McMahon: Thank you.
George Barrios: Thanks Arvind.
Operator: Thank you. Our next question comes from Alan Gould with Natixis. Go ahead please.
Alan Gould – Natixis Bleichroeder: Thank you. I’ve got a few questions. Let me start off Linda with you first please. The average domestic attendance had been up almost every quarter for years, and it was flat in the second quarter and down in the third quarter. Is this a trend you think we’re going to continue to see in this weak economy?
Linda McMahon: I think we’ll see some continuing impact. I don’t know that it has been down anymore than that kind of percentage, but I do think in a weakened economy we would be I think cavalier, not to look at the marketplace and say that there will be some decline. I think we made up for that in more events in some areas where it’s prudent, we can do that. But we don’t want to burn out our marketplace for a short term result because we’re obviously very long term oriented and our staying power I think speaks to how we go to the marketplace, prize our events, return to the marketplace X number of times, et cetera. So, we want to be careful of burnout. We’re not going to hotshot any markets just for a short term gain.
Alan Gould – Natixis Bleichroeder: Okay. Next question is for George. And this is with respect to trying to calculate the safety of the dividend. I mean, the two key predictable numbers would be your CapEx going forward and your change in film cost going forward. George, could you walk us through how the – basically how this media center – I think you’re behind your HD initiative, but how the media center is going to impact CapEx and what you think CapEx is going to be for the next few years, and likewise, change in film production assets for the next couple of years?
George Barrios: So on the CapEx, you said that the – we've disclosed that the range as somewhere between $65 million and $75 million. There has been some already. There’ll be some more in ’09. It really peaks in 2010 and then some in 2011. So, we’ll be beyond the media center after 2011. Our run rate on all other CapEx might be around $10 million or so. We’re not going to get – we don’t provide guidance as you know, Alan, so I’m not going to get into specifics around with film spent. What I will say is this. We’re going to manage the business. All parts of the business can sit with maintaining the dividend and meeting our long term financial objectives. I will also say that on the film side, we’ve made several operating changes that we believe will drive up the return on capital on whatever the investment is. That includes making sure that the content is suitable for a broader audience, maybe staying away from the R-rated films that includes having a mix of products, so it’s not theatrical dependent direct to video movies of the week. And it also includes making sure that the timing of release to production spend is shortened, so that the time, value and money impact which is a key component of the overall return on capital is maximized. So, we feel good about the film entertainment business and that we can be successful in that business. But I’m not going to get into specifics about the levels. We’re going to work on maintaining the dividend and delivering in the long term.
Alan Gould – Natixis Bleichroeder: George, can we assume now that the media center, when you’re saying some in 2009, peaks in 2010, it’s like $20 million of CapEx in 2009 and $40 million in 2010, would those be good estimates?
George Barrios: Yes. I think for the media center itself, $15 million to $20 million in’09, $40 million in 2007, $15 million to $20 million in 2011, and we are still working the plan. That’s why the ranges are broad. I think that’s fair.
Alan Gould – Natixis Bleichroeder: Okay. And my next question, I was surprised to see the film write-down on a 2.5 year old film that cost $11 million to be writing down $1.9 million this late in the cycle.
George Barrios: Yes.
Alan Gould – Natixis Bleichroeder: Can you give us a little – you had $25 million of film cost on the balance sheet. Can you give us some idea how much you’re now carrying, See No Evil, The Marine, Condemned and Condemned 4 right now?
George Barrios: Sure. So let me answer the first part of your question around the See No Evil. As you know, from a film accounting perspective, what triggers the analysis that would lead to an impairment is moving from a position where you’re expecting it, the film itself to be profitable to when it’s not profitable, and that did occur in our recent ultimate estimate, which we received from a third party. The why so late in the cycle is a good question, I mean part of this as you know is, a, it’s based on estimates, and b, those estimates are coming to us from a third party who in turn, in this case, Lionsgate, is using other third parties to distribute the film internationally across a variety of windows. So that’s the reason; it’s the lag in that reporting that led to late in the cycle of the film.
Alan Gould – Natixis Bleichroeder, Inc.: Okay. And the cost that you’re carrying in the three films for on the balance sheet today?
George Barrios: Well, See No Evil is about $3 million. I think The Condemned is around $1 million, and then 12 Rounds is the bulk of it.
Alan Gould – Natixis Bleichroeder, Inc.: And The Marine?
George Barrios: And The Marine has got a piece. I don’t have that handy right now, Alan.
Alan Gould – Natixis Bleichroeder, Inc.: Okay. And then my last question, if I could. Genius Products has been your home video distributor and your home video results have been outstanding. Just a little concerned based on some of the trade articles saying that Genius has told some of their customers to look for a new distributor, given Genius’ financial problems. Should we be concerned about some hiccup in the home video area going forward if Genius were to fold up shop?
George Barrios: Well, obviously, Genius is a key partner of ours. Unlike all our key partners, our operating executives are in constant communication with them. Obviously, we’ve seen similar things that you’ve seen that have been publicly disclosed about Genius. And all I can tell you on that is that we’re working very, very closely with them to make sure that there are no hiccups and we’re going to do what makes sense for WWE.
Alan Gould – Natixis Bleichroeder, Inc.: Okay, thank you.
George Barrios: You got it.
Operator: Thank you. (Operator instructions) Our next question comes from Jamie Clement with Sidoti & Company. Go ahead please.
Jamie Clement – Sidoti & Company: Good morning.
George Barrios: Good morning, Jamie.
Jamie Clement – Sidoti & Company: If I could just get a little bit more color on the cost savings plan and sort of your expectation at the timing of realizing some of that. I mean, are these actions that you plan to take over the next couple of quarters so that you leave 2009 $20 million lighter or is that a number that you’re committed to actually realize in 2009 on the P&L?
George Barrios: Yes. We’re committed to realizing it in 2009, so we will – some of the actions have started taking place already, will continue to take place throughout 2008 and frankly they’re going to become part of the DNA. The process that Linda described is one that we are going to continually revisit. And one of the things I want to make clear here, that this isn’t just about “cuts”. This really is about just doing business as smart as we can. So for example, a significant amount of the savings will come from things that have already come from renegotiating with our vendors and not necessarily lowering the quality of support that we get, but just being prudent and making sure the commercial terms are as favorable to us as they should be. Some other will be by sharing and leveraging existing resources and so in some cases, if we have duplications, making sure that that doesn’t exist. Other cases it’s about leveraging all our marketing channels. We have a global TV platform that’s probably one of the most powerful marketing channels you can have. We want to make sure that we use that to its greatest extent. So it’s not about necessarily taking out capabilities. It’s just about doing things as smart as we can. So that’s the long answer. The short answer is the $20 million will be realized in 2009. Just to put a finer point on it that means $20 million worth of spend that we’re currently doing won’t be there in 2009. Obviously there will be a little bit of an offset with things like price inflation and so on, on the rest of cost base. I am not going to get tying that all out; what we’re absolutely committed to is at least $20 million of activity that we’ve had gets reduced.
Jamie Clement – Sidoti & Company: Okay. Thank you for the additional color. Linda, can I ask for an update on the company’s initiatives in Asia? This is something that you’ve talked about over the last couple of conference calls. I know you have full-time employees on the ground over there. Can you talk a little bit about WWE's strategy over there?
Linda McMahon: Primarily, we’re looking at touring that exists [ph], we are currently on four provinces of television there, we expect to be on six by the end of the year. We have people on the ground in Shanghai in our office. We are continually moving to grow our business there, taking a look at where our live events are going to be. I’ve looked when we’ll begin touring live events and I think George – are we schedule to go in 2009 with our first – right, in our first live event? I thought that was correct. We also recently have licensed a Mandarin web site for China which I think is going to continue to grow and benefit not only our brand distribution but familiarity with our product. It’s interesting that you’re in an area, you haven’t even done a web site, but of course the web is global and already the popularity of WWE is growing with brand and talent recognition and demand for products. So we’re moving slowly, as I said, we are being very decisive. We are improving our pro-social outreach in China as well. We are very happy on our work that we did with Special Olympics earlier, that we were able to win a community award for that. So I think we’re going into the marketplaces as good corporate citizens and expanding to grow that business very methodically. So I’m very pleased with those initiatives.
Jamie Clement – Sidoti & Company: Thank you all very much for your time.
George Barrios: Sure. Thank you. If Alan is still out there, I just want to get back to his question. Regarding the film assets on the balance sheets, 12 Round is in the low 20s, The Marine is about $3 million, See No Evil is about $3 million, and the Condemned is about $1 million.
Operator: Thank you and our next question comes from Marla Backer from Research Associates. Go ahead please.
Marla Backer – Research Associates: Thank you. Well obviously you are responding very quickly to the economics slowdown in terms of cost reductions. Is there anything that you can think of in terms of a strategic change or at least putting something on hold for now that might also help in the short term? I mean we’ve seen you in the past reducing on both pay-per-view events and when we saw to pay-per-view buy start to soften a little bit. Is there anything you can think of in terms of the strategy including perhaps just tweaking the tour schedule a little bit?
George Barrios: So I don’t want to put too fine a point on your opening statement but I think it’s important. There are initiatives of five efficiencies in the organization really are driven by the economy. We talked about in the second quarter when our revenues have been up about 19%. So this really is about injecting it into the DNA of the company, so that’s the first part. Regarding your second question about are there other things, we believe there are – I don’t want to get into enumerating them. You actually touched on a couple but that is when we say were managing the business to be able to maintain the dividend and achieve our long-term financial objectives, it’s a lot of the things that we make sure we’re optimizing each part of the business.
Marla Backer – Research Associates: Okay. Then, are there any legacy deals at WWE studios that we should be aware of? I mean, I thought I had read at one point that you had a two film deal with Steve Austin. I’m wondering if that’s still in effect or is there any things that you’re committed to that you will have to go forward on.
George Barrios: No.
Marla Backer – Research Associates: Okay. And then my third and last question. With Donna moving into the world that Mike Sileck had occupied before, are you planning to replace her? Will she continue in a dual role in the company?
Linda McMahon: The objective will be to replace Donna in that position. However, we won’t have any loss if he will in the management of our CPG department until that person is put in placed and will continue to report in to Donna.
Marla Backer – Research Associates: Thank you.
Operator: Thank you and we have no further questions at this time.
Michael Weitz: Thank you everyone. We appreciate you listening to the call today. If you have any questions, please do not hesitate to contact me, Michael Weitz at (203) 352-8642. Thank you.